Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2018 MagnaChip Semiconductor Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Bruce Entin, Director, Investor Relations. Sir, you may begin.
Bruce Entin: Thank you for joining us to discuss MagnaChip's financial results for the second quarter ended June 30, 2018. The second quarter earnings release that we filed today after the stock market closed and other releases can be found on the company's Investor Relations Web site. The telephone replay of today's call will be available shortly after the completion of the call and the webcast will be archived on our Web site for one year. Access information is provided in the earnings press release. Joining me today are YJ Kim, MagnaChip's Chief Executive Officer and Jonathan Kim, our Chief Financial Officer. YJ will begin the call with a discussion of the company's recent operating performance and Jonathan will provide an overview of our Q2 financial results. And then, YJ will provide a brief recap as well as provide financial guidance for the third quarter of 2018. There will be a question-and-answer session following today's prepared remarks. During the course of this conference call, we may make forward-looking statements about MagnaChip's business outlook and expectations. Our forward-looking statements and all other statements that are not historical facts reflect our beliefs and predictions as of today and therefore subject to risks and uncertainties as described in the Safe Harbor discussion found in our SEC filings. During the call, we will also discuss Non-GAAP financial measures. The Non-GAAP measures are not prepared in accordance with generally accepted accounting principles that are intended to illustrate an alternative measure of MagnaChip's operating performance that may be useful. A reconciliation of the Non-GAAP financial measures to the most directly comparable GAAP measures can be found in our second quarter earnings release available on our Web site under the Investor Relations tab at www.magnachip.com. And now, I'll turn the call over to YJ Kim. YJ?
YJ Kim: Thank you, Bruce. And welcome to everyone on the Q2 conference call. Let's dive right in. Total revenue of about $200 million exceeded our prior guidance of $182 to $188 million and reached the highest level of any quarter in nearly six years. Revenue of $199.7 million increased 19.8% from Q2 a year ago and increased 20.4% sequentially. Gross profit dollars, operating income and adjusted EBITDA increased by double digits year-over-year as well as sequentially. We also generated meaningful positive free cash flow in the quarter. Jonathan will review our financials in more detail shortly. Here are the Q2 takeaways. Display, power and foundry it showed sequential top-line growth, but OLED was the standout performer and the main catalyst for better than expected revenue performance in Q2. OLED revenue of $62.2 million increased 309.6% from Q2 of last year and 81.3% sequentially from $34.3 million in Q1 of 2018. It was the second straight quarter of a triple-digit year-over-year growth. The OLED revenue we achieved in Q2 was the highest level in any quarter since MagnaChip began shipping OLED drivers in 2007. And was 17% higher than Q3 2016 which was our highest OLED revenue quarter during 2016. That was the year we reported record OLED revenue of $161 million. And I'm pleased to say that we are currently on track to set a new OLED revenue record in 2018. Let's briefly talk about how we got here and where we are headed with the OLED drivers. On our Q1 earnings call in May, we estimated our OLED revenue in Q2 would increase sequentially by about 50%. That was based on an expectation that about 10 OLED smartphones with MagnaChip OLED DDIC would hit the market in Q2. Instead, we entered mass production for 15 new OLED smartphones and our OLED revenue was abnormally strong. We anticipate to be in mass production for additional six smartphones in Q3. Let's touch briefly on our design activity and discuss our product pipeline. If you recall, several smartphone makers in China had delayed plans for new devices because they were waiting for a highly anticipated smartphone from a global brand to hit the market in late last year. Once that happened, China smartphone makers were playing catch up and the design floodgates opened. In fact approximately 70% of our new 40-nanometer design wins enable the latest and greatest rigid bezel-less smartphones with [trench] [ph] or notch features which offer better price performance than a leading global brand. As we close the books on Q2, we had a total of 32 design wins with about a dozen smartphone makers. We also secured our first design win through our panel maker for an OLED tablet application for an OEM in Asia in Q2. We continue to get more design wins with our third generation 40 nanometer drive IC to new compelling a leading edge smartphone makers outside Korea. This 40-nanometer device which enables low cost bezel-less, rigid OLED screen with 21 by 9 aspect ratio and full HD++ resolution is one of our six rigid and flexible OLED display driver portfolio and all of them are now in volume production. While rigid drivers represented the majority of shipments in Q2, the product mix will begin to shift towards more complex and higher margin flexible display drivers. In a report published last week market research firm displaysupplychain.com said prospects are positive for OLED smartphone growth in Q3. Here is their quote "OLED smartphone growth is accelerating with impressive growth expected in Q3 as the rigid OLED to LTPS, LCD price gap narrows to about $5 and more brands increase their flexible OLED offerings. Speaking for MagnaChip, we agree with their point of view and we expect our combined Q2-Q3 OLED revenue to be in the range of $120 million. We are very excited about a particular flexible OLED display driver in our product pipeline. This is our ultra-low power 28-nanometer OLED display driver. We already take out a test strip and expect to begin sampling by end of the year or early next year at the latest. It will have a technically compelling specs that will meet the exact requirements of high-end smartphones including foldables in the future. We believe the foldables category will reignite a new wave of smartphone innovation and have the potential to drive increased demand for the OLED display drivers and associated power components that MagnaChip supplies. It's not clear when foldable devices will hit the market in volume, but it is clear that foldables will combine the best features of a smartphone and a tablet and require a flexible OLED panels in order to bend. As a reminder, LCD display is not flexible and cannot be bent. MagnaChip and our OLED panel customers already have made significant strides in solving issues related to burning and screen aging. In addition, we enable complex functions such as significantly more sophisticated pixel optical compensation capabilities in high resolution using high density SRAM and diverse compensation functions that could only be realized using finer process technologies an important step leading to further cost reduction and development of advanced flexible OLED screens. Ever finer geometrics of DDIC including 28-nanometer will have even greater capabilities. Such devices will enable a very small dye size with large embedded SRAM memory to support the high screen resolution such as QHD+ or UHD and the lowest levels of power consumption. Ultra-low power is ultra important to reduce heat preserve battery life, improved device uptime especially since foldables may have multiple screens and perhaps multiple drive ICs. Ultra-low power will also improve performance of application processors and other components packed with managing algorithms and complex functions like artificial intelligence, augmented reality and virtual reality. DDIC's also will be required to control complex display driver operations and manage integrated modules with sensor functions for enhanced touch and see into active features. As a company with the longest OLED design and manufacturing track record, we at MagnaChip believe that our 28-nanometer display driver will have the industry's lowest power at most cost efficiency and the most advanced OLED display capabilities. Stay tuned. While we are talking about the display business, let me give you a brief update on the portfolio optimization effort we've undertaken with our LCD business. In Q1, we decided not to actively pursue an attractive LCD opportunities of approximately $11 million in low margin business and told you we would use a platform approach to product development. We also said, we would redirect the business towards higher margin opportunities including automotive applications. I am pleased to report that we want two designs in Q2 for automobile, center stack display. In ordinary terms, this is the dashboard or concept screen used to control multiple car functions. Turning now to the foundry business. Our foundry revenue and gross profit margin both increased sequentially in Q2, despite a substantial increase in low wafer prices. We've taken a number of steps to mitigate the impact of a higher wafer prices, but we need to do more. As a result we are in the process of raising foundry prices. Foundry revenue based on VCD [ESquare] [ph] PROM Technology grew in double-digit sequentially in Q2. This technology continue to be the foundation of our foundry business because the combination of analog based VCD and ESquare Technology is ideal for power management solutions and power ICs used in high volume smartphones, IoT devices and USP-C applications. Other notable takeaways from our foundry business in Q2, new product revenue, an indicator of the health of the business pipeline increased by double digits year-over-year and sequentially as well. Data based tape outs increased by double digits in the first half of 2018 was compared with the first half of 2017. Not all tape outs have equal revenue potential, but some view the metrics as an indicator of potential business down the road. Now, turning to the power business, results in the power standard products business once again were impressive as demand continue to outpace supply both in industry and also for MagnaChip. Revenue grew by double digits year-over-year and over 3% sequentially due to strong demand for medium voltage MOSFET as well as high voltage Super Junction MOSFET and IGBT devices for TV and in the share markets. To ensure that we meet customer demand, we are opportunistically increasing wafer starts in the power business by converting lower margin LCD capacity. Portfolio optimization efforts began more than two years ago, continued to pay off. We continue to convert key power products into new geometric generation offerings that carry higher margins. And also have increased every selling prices and 13 powered products due to industry shortages and product allocation. In some cases, we have begun to sell certain price competitive products in wafer form to improve profit margin. I'd like to highlight one new power standard product targeted to digital signage applications for exterior glass windows. This 36 channel LED drive IC product, which already has entered volume production is based on power IC technology. This product is an enabler of micro LED solutions using our power LED IC solutions. With that, I'll turn the call over to Jonathan. I will return afterwards to wrap up and provide our business outlook and financial guidance for the third quarter. Jonathan?
Jonathan Kim: Thank you, YJ. And welcome to everyone on the call. We made progress in the second quarter on several financial fronts despite headwinds. Most notably continued price increases on raw wafers and lower [fab] [ph] addition compared to the period a year ago. Let's do a brief recap of our results. As a housekeeping item, we will discuss historical numbers on an as reported basis. Please refer to our published financial tables for the as adjusted historical numbers. The improvements of our financials began with our stronger than expected revenue performance. Revenue in Q2 increased 19.8% from a year ago due to a 39.6% year-over-year revenue increase from our standard products group. This was offset in part by a 0.8% revenue decline in the foundry business. For Q2, the Standard Products group represented 59.5% of revenue comprised of 39.4% from display products and 20.1% from Power Products. OLED revenue in Q2 represented 79% of the display business up from 30.5% in Q2 last year and 69.1% in Q1 2018. The Foundry services group represented 40.5% of Q2 revenue. OLED displays revenue quadrupled year-over-year and power products were up 13%. We increased ASPs on certain power products as others in the industry have done in response to a shortage that has caused long lead times and product application. Our non-OLED display business declined as part of a deliberate and strategic for fully optimization effort in that low margin product category. Our foundry revenue was flattish from a year ago. On a year-over-year basis gross profit dollars improved 15.4%, operating income rose 42.8% and adjusted EBITDA increased 15.7%. On a sequential basis, those metrics all increased by double digits, but the standouts were operating income and adjusted EBITDA which increased by 88.6% and 51.7% respectively. Notably the incremental fall through from gross profit to operating income was 7.4 million in Q1 and $13.9 million in Q2, which are encouraging signs that gross margin dollars are going faster than operating expenses. We believe it would be useful to monitor gross margin dollars as a key financial metrics because our revenue growth in 2018 represents fall through of gross profit dollars to operating income, adjusted EBITDA and free cash flows. We also strengthened the balance sheet, we tightly managed inventories in a high growth environment and in a prudent use of cash we once again made prepayment to wafer vendors and purchase buffer wafers to secure adequate supply. One particular financial highlight is that we generated meaningful positive free cash flow in Q2 as compared to negative free cash flow in the same period a year ago as well as in Q1 this year. We anticipate that we will continue to generate positive free cash flow for the second half of 2018. Gross profit margin in Q2 was 27% which was within guidance range and up slightly from 26.9% in Q1. Gross margin declined by 1% year-over-year due to several factors including lower fab utilization due primarily to a strategic and deliberate decision to reduce the volume of low margin LCD products and a decrease in demand of certain lower margin foundry products. Fab utilization in Q2 was in the low 90% range as compared mid-90% a year ago. Other factors affecting gross margin in Q2 included all their product mix and higher prices of raw wafers. We anticipate more favorable OLED product mix as higher margin flexible OLED drivers become a larger percentage of our shipments. Wafer prices likely will remain an issue not only for us but industry wide. We said as far back as the Q4 2017 earnings call that we had the potential to achieve overall gross margin in fiscal 2018 to be flattish. Give or take with the gross margin results we posted in fiscal 2017. Despite the headwinds, we mentioned we still standby those words. We said previously that [indiscernible] mitigated higher raw wafer prices would impact gross profit margin by 2% to 3%. But we've also said that we have no intention of letting that happen. We continue to meet long-term supply arrangements with wafer vendors and made prepayments to guarantee wafer supply at attractive prices. Also we continue to opportunistically buy raw wafers to add to buffer stock inventory. A new initiative we are undertaking or will take matters into our own hands with respect to a shortage of special epitaxial wafers. Those type of wafers also commonly referred to as epi-wafers are used primarily to manufacture our power standard parts. We're planning to build in-house a portion of the epi-wafers that we expect will require in 2019 to meet customer demand and to moderate the impact of anticipated continued price increases from outside suppliers. We intend to use silica substrate to grow the epi-wafers which we've done in the past to meet certain customer requirements. To do this, we will increase the number of epi tools this year and next year. As a result, capital spending will increase by approximately $3 million to $4 million in both 2018 and 2019 to support this initiative. We estimate approximately 2-3 years ROI for these investments. A few notes before I turn the call back to YJ. SG&A was $18.9 million in Q2 as compared with $17.6 million in Q1, which included unexpected benefit of $700,000 in Q1 to regroup an insurance claim for repayment related legal fees. The increase in SG&A in Q2 included over $500,000 due to the revised stock-based compensation program that includes performance based incentives designed to align company performance with increase in shareholder value over time. In the second half of 2018, we expect SG&A will trend up primarily related to this revised stock-based compensation program. R&D was $21 million in Q2 up from $19.6 million in Q1 primarily to support research and development programs associated with the OLED business. In the second half of 2018, we currently expect R&D will trend higher as we have previously forecasted primarily to continue to support the OLED activities. We entered into an arrangement in Q2 to acquire a water treatment facility to support our fab in Gumi, Korea for $4.2 million. This transaction involved manageable acquiring the facility from SK Hynix and then using a third party company to fully finance this acquisition and run the facility for the next 10 years. Capital spending totaled $8.4 million in Q2 or $4.1 million on a normalized basis that excludes the $4.3 million fully financed by third-party related to the above mentioned water facility arrangement. We currently expect our capital expenditures in 2018 to be approximately $39 million or $35 million on a normalized basis as compared with $32.7 million in 2017. Cash was $131.7 million at the end of Q2 2018 as compared with $123.1 million in Q1 2018 and $131.5 million in Q2 2017. In summary, key financial metrics moved in the right direction in Q2 including achieving positive free cash flow, improved results in operating income and adjusted EBITDA as well as gross profit dollars. As a management team, we are committed to improve profitability over time and already are taking steps to achieve that goal. Those steps include among others raising prices and power and foundry, entering into long-term supply agreements with wafer vendors and we have been selling a portion of our power products to customers in wafer form to minimize lower margin backend operations. With that, I'll turn the call back to YJ. YJ?
YJ Kim: Thank you, Jonathan. OLED was the star of the show in Q2, but all three of our business lines performed well. We showed improvement in our operational and financial results in the second quarter despite multiple headwinds. A few closing comments on OLED. While some believe the China smartphone market will show signs of recovery beginning in the second half of the year, we believe MagnaChip got a head start in the first half of the year. Quite simply, we had the new display driver portfolio that China's smartphone makers needed to jumpstart their smartphone launches and to match the feature in new models from the leading global brand. The new wave of design activity that started in the second half of 2017 is paying off for us now. We also like what we see in Q3. Our OLED revenue was abnormally strong in Q2, but we still currently anticipate that OLED revenue in Q2 and Q3 combined will likely be in the range of about $120 million. For the third time this year, we are raising our own internal guidance for OLED growth. On our Q4 call, in February, we said OLED revenue would top $100 million in 2018. And on our Q1 call in May, we said OLED revenue had the potential to approach our previous record of $161 million. Now it seems certain that OLED revenue will set a new record this year despite expected OLED oil revenue decline in Q4 due to typical seasonal factors. With the OLED revenue ramp in Q2, we demonstrated that we built a solid foundation for the growth of all three businesses. In general, barring unforeseen factors, total revenue for MagnaChip in Q3 is anticipated to increase sequentially and total annual revenue will grow by double digits as you compare with 2017 and handily beat the forecasted rate of growth in the non-memory semiconductor market. With that, let's turn now to our forward-looking guidance, for Q3 2018 MagnaChip anticipate revenue to be in the range of $200 million to $210 million up sequentially 2.7% at the midpoint of the projected range. The guidance for the third quarter compares with $199.7 million in the second quarter of 2018, which was higher than expected revenue and $176.7 million in the third quarter of 2017. Despite headwinds gross profit margins to be in the range of 26% to 28%, this compares to 27% in the second quarter of 2018 and 28.5% in the third quarter of 2017. Now I'll turn the call back to Bruce. Bruce?
Bruce Entin: Thank you, YJ. So, Emani, this concludes our prepared remarks. We'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Rajvindra Gill with Needham and Company. Your line is now open.
Rajvindra Gill: Yes. Thanks for taking my questions and congrats on very impressive results and congratulations on the OLED business ramping, that's great news. I was wondering, if you could talk a little bit about the overall adoption rate of OLED, it clearly seems that Chinese OEMs are adopting it at a rapid pace, but they're also using your solution disproportionately given your technology lead. So I was wondering, if you could provide maybe some color on the feedback from customers over the last one to two months and how do you see that the shift to flexible happening in the second half of next year going into the 2019?
YJ Kim: Raj, thanks for the question. So as we said earlier today that I think we saw the shift to the OLED quicker than the market because we had the new product that enables very low cost bezel-less high-resolution with a very good aspect ratio. So and that enables the product that is very compelling at a very much lower price. And so I think that has -- that design when they started in second half '17 actually are turning to better than expected revenue in Q1 really surpassed our expectation in Q2. And that momentum continued into Q3 where combine now look pf Q2 and Q3 is about $120 million. In terms of flexible, the flexible price point is still high. But as far as going into second half there will be more product mix in the flexible which helps us gross margin as well as the balance of portfolio. And for the high-end flexible, I think it's very important that the -- you need to really have a really low power device. And so we are working on that 28-nanometer, which we believe will be the lowest power with the richest feature set with the most cost efficiency in the market and we are very excited about the future roadmap with that.
Rajvindra Gill: That's great. So if I kind of look at the segments, the combined Q2 and Q2 for OLED, it does imply the OLED will take a little bit of a drop in Q3. Can you talk a little bit about the other segments growing into Q3, any kind of color commentary in terms of how power or foundry will do next quarter?
YJ Kim: That's a very good question. So I think, first of all, I think we did abnormally strong in Q2. So that's normal because a lot of people sketched up to come up with notch trench design. So that's abnormal phenomena that we saw because originally it's not ten, but with production but 15 did. But in terms of our business, if you look at the power at this particular quarter in Q2, it grew 13.3% year-over-year that's very strong double-digit growth. We continue to have positive growth in that segment. We going to also see growth in the foundry, so as I alluded to earlier, we now have a very three strong foundation for all three businesses.
Rajvindra Gill: And last question from me, the reorganization -- actually let me just ask a question on the gross margin, so it seems to me that you as a company anticipated the increases in raw wafers maybe further than most people and were clearly are seeing the impact the raw wafer price increases across the industry. Several companies have cited that as well. As we look into next year, if we put the raw wafer price increases to the side, how do you look at your margin profile, how you look at your mix shift because it seems like OLED is ramping its higher margin foundry is good margin. Maybe you could talk a little about your thinking about margins in the longer term? Thank you.
Jonathan Kim: Yes. Thank you very much for that question Raj. So as we look ahead and if we think about the situation with wafer prices, we do see this to continue to be a headwind for us. And what we said several quarters ago was that the impact that we're anticipating in connection with the wafer price increases was 2% to 3% to our gross margin. And that's not a significant. And so we did try to prepare earlier on to mitigate that that impact which included making prepayments engaging in long-term contracts and we talked about today the fact that we're also bringing in additional epi tool to try to bring some of that in-house. So we're doing a number of things to mitigate the impact. And at the same time the OLED business picking up is certainly helpful. So for example this quarter, we were able to say that we now have meaningful level of free cash flow for the quarter while we had negative free cash flow a year ago as well as last quarter. So we think this is a very good development for us. When we look at the gross margin dollars as a metric. In 2019, I think its common knowledge and there are many reports out there that talk about the wafer price headwind to continue. So there are many components to gross margin, but I think with healthier OLED business than what we saw in the past as well as to the extent that we're picking up more healthy business on foundry and power, it should help out with the gross margin. But again, we cannot forget that there is a strong headwind in connection with the wafer prices.
Rajvindra Gill: Right. Very good. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Suji De Silva with ROTH Capital. Your line is now open.
Suji De Silva: Hi, YJ. Hi, Jonathan. Congratulations on the momentum here. Good to see. To start, housekeeping question, maybe it's for Jonathan. The non-OLED display business, is that going to be flat going forward or declining as a legacy? How might I just want to understand how that a move?
Jonathan Kim: So, related to the non-OLED business, we talked about the LCD business and some of the low margin business that we did not pursue because it would not have been beneficial for the company. So there's probably not going to be a significant movement out of the business and we may think we took some steps earlier on in the quarter. There could be some ups and downs between quarters, but I think overall, what you saw during the first half should be somewhat consistent during the second half.
Suji De Silva: Okay. Fair enough. And then, switching over to the OLED business, can you talk about the magnitude or typical maybe fourth quarter seasonal pattern if you have that as a mass kind of a smartphone market or how should we think about -- what typical seasonality will be in the 4Q
YJ Kim: It's a very good question. So I already give the Q2-Q3 combined outlook that only leaves the Q4. So if you look at the 2016 curve, we think we could be better than that but there's definitely seasonality in the fourth quarter.
Suji De Silva: Okay. That's helpful for framing that. And then, I know you have two large customers for OLED, I'm wondering what the mix is today with those two customers, is that weighted toward one of them versus the other or getting more balanced and what kind of balance do you expect in the '19 timeframe between two customers and just trying to understand the diversification of its revenue stream?
YJ Kim: Unfortunately, we don't break out the product by customer, I think we do report, which grew than 10%, than those two customers tend to be Samsung and LG display.
Suji De Silva: Okay. Thanks. I'll look that up. And then lastly maybe a longer term question, you had a really good run say with this '18 sort of China smartphone catch up from the features to the flagship, the trench notch. Do you see some sort of similar feature in the '19 timeframe that kind of recreate this scenario where people have to keep catching up? And I think that looking out the horizon that maybe foldable, but that could be a little early, so I'm not sure what -- if there is another similar kind of upgrade cycle in the '19 timeframe? Thanks.
YJ Kim: Yes. So it's a very good question. Unfortunately as you know, we only guide one quarter at a time. But what we can say is that look, I think we created a good foundation now in the OLED. I think the last quarters we are validating it that we proving that we can we execute. So our goal -- our aim is to make sure we continue to grow every year. So that's what we can say. And we are working on very compelling products like 28-nanometer with rich features and so forth. So the market is coming towards OLED in every device. So people who don't have OLED, the panel display or drive IC, they will work on it, right. So first job is to make sure we have a compelling roadmap, a compelling product, compelling cost to make sure that we keep winning more design wins and grow the revenue. So that's what we intend to do.
Suji De Silva: Okay. Once again YJ and Jonathan, Bruce congratulations on the progress. Thanks.
Operator: Thank you. And our next question comes from Atif Malik with Citi. Your line is now open.
Unidentified Analyst: Hi, guys. It's [indiscernible] on behalf of Atif. Congratulations on the great performance. Just wanted to see if we can get a little more clarification on China expectations for the second half for design wins?
YJ Kim: Yes. So I think the -- some of the color we threw out today as we know we had run of the revenue starting this Q1 and Q2 actually really exceeded our expectations as well is because the new design of the 40-nanometer chip that we sample three of them so far, we sampled two last year, one this year that had translated to come with very compelling bezel-less, rigid trench or notch design about 70% of the 40-nanometer display application. So that create a very compelling price performance in feature rich smartphones by the leading Chinese smartphone makers. And that got us to the revenue in Q1 and Q2 and that momentum continued into Q3. We are still winning more design wins using our third generation 40-nanometer. Again, this is a difference that we did not have in '16. We had that chip, we sampled a couple months ago. Now we're going production, we keep winning design and then we will be readying the next set of design with our next gen 28 nanometers and so forth. So that's what's happening. So I think we stay ahead of the curve for the industry because we had a compelling new chip.
Operator: Thank you.
Bruce Entin: Operator, are there any more questions?
Operator: This concludes today's Q&A session, I will now like to turn the call back over to Bruce Entin, Director of Investor Relations for closing remarks.
Bruce Entin: Okay. Thank you, Emani. So this does conclude our second quarter 2018 earnings conference call. Please look for details of our future events on MagnaChip's Investor Relations Web site. Thank you for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a great day.